Operator: Good afternoon, ladies and gentlemen, and welcome to the Fourth Quarter and full-year 2011 Amkor Technology Earnings Conference Call. My name is Kelly, and I’ll be your conference operator for today’s call. At this time all participants will be in a listen-only mode. Following the presentation, the conference call will be opened for questions. This conference call is being recorded today, Thursday, February 9, of 2012, and will run for up to one hour. Before we begin this call, Amkor would like to remind you that there will be forward-looking statements made during the course of this conference call. These statements represent the current view of Amkor management. Actual results could vary materially from such statements. Prior to this conference call, Amkor’s fourth quarter and full-year 2011 earnings release was filed with the SEC on Form 8-K. The earnings release together with Amkor’s other SEC filings contain information on risk factors, uncertainties and exceptions that could cause actual results to differ materially from Amkor’s current expectations. I would now like to turn the conference over to Mr. Ken Joyce, Amkor’s President and Chief Executive Officer. Please go ahead, sir. 
Ken Joyce: Thank you, Kelly, and good afternoon, everyone. With me today is Joanne Solomon, our Chief Financial Officer. Today I’ll talk about our fourth quarter and full-year 2011 results, and guidance for the first quarter of 2012. Joanne will then discuss our financial performance in more detail and finally we will open up the call for your questions. To begin, fourth quarter sales of $684 million, gross margin of 16% and earnings per share of $0.11 per-share were all consistent with our expectations. We saw record quarterly sales in our wireless communications end-market driven by strong demand for smartphone’s and tablets. We also experienced a seasonal decline in gaming and consumer electronics, and some softness in demand in the networking, automotive and industrial areas. Looking back at 2011, we achieved some notable successes. First, we continue to build upon our industry leading position in Flip Chip and other advanced packaging solutions, and commercialized our innovative fine pitch copper pillar Flip Chip technology. We also delivered a sixth consecutive year of positive free cash flow and overcame the extraordinary supply chain challenges that resulted from the tragic earthquake and tsunami in Japan. As I have often stated, one of the key elements of our business strategy is the focus on technology leadership and innovation. We have been investing significant resources in our advanced packaging, and these investments are paying off. As the migration from wire bond packaging to Flip Chip continues to accelerate. This migration is being driven by strong demand for smartphones, tablets, e-readers, gaming devices, and the networks required to handle the expediential growth in wireless content. The chips enabling these devices must deliver ever greater performance, low power consumption, small form factors, and low cost. Attributes that are best accommodated with Flip Chip and other advanced packaging technologies. Flip Chip and wafer level packages accounted for 45% of our packaging revenues this quarter, up from 34% in the fourth quarter of 2010, and they generally yield both a higher margin and a higher return than our wire bond packages. A great example of our leadership in the advanced packaging is the commercialization of our fine pitch copper pillar Flip Chip technology in 2011. This technology is a significant improvement over traditional solder bump due to its small pillar size, smaller pitches between the pillars, and high thermal and electrical connectivities. It is also a key enabler for 3D solutions using silicon interposer and a through silicon via technology. We developed this proprietary interconnect solution in close collaboration with one of our customers, and has really taken hold with sales of more than 100 million units since its adoption in 2010. Despite these successes, we did face challenges to our profitability in 2011. The accelerated pace of the migration of wire bond products to Flip Chip has opened up wire bond capacity faster than we have been able to redeploy these assets. We are pursuing a number of initiatives to close this gap in utilization. These efforts include ramping NAND memory production, increasing our penetrations of IDMs as they pursue [inaudible] business strategy and promoting its option of copper wire bond solution. In addition to our on-going revenue initiatives to address our utilization gap, we are focused on rationalizing our cost structure in line with demand. We have already taken and continue to pursue a number of actions to reduce labor cost in our factories, with targeted reductions of around 25 million for the full-year. Looking ahead to the first quarter of 2012, we are seeing seasonal demand patterns with revenues expected to be down 3 to 10% from the fourth quarter. Wireless communication should be down from its record levels in the fourth quarter, but still ahead of the first quarter 2011. Consumer electronic, networking, and the automotive industrial areas are also expected to decline sequentially. First quarter gross margin is expected to be in the range of 14 to 17%. Our on-going efforts to improve our profitability are gaining traction, and we expect that our gross margin in the first quarter will be the bottom for the year. As I mentioned earlier, we continue to see solid demand for our newest and most advanced interconnect technologies for wireless communications packages, and for Flip Chip packaging overall. To support this demand and to meet the capacity requirements of our leading customers, we spent $128 million on capital additions in the fourth quarter, and we are currently planning capital additions of around $125 million for the first quarter and around $300 million for the full-year 2012. To sum up, we believe our strategy of focusing on the growth of our Flip Chip and other advanced products is the right one for Amkor. As a revenue enhancement and cost reduction initiatives gain momentum, we see the first quarter of 2012 as a turning point for us in our efforts to drive improved profitability. And with that, I’ll now turn the call over to Joanne. 
Joanne Solomon: Thank you, Ken, and good afternoon everyone. To begin, our fourth quarter revenue declined 8% sequentially to $684 million. Strong demand for our communications products supporting smartphone’s and tablets drove our chip sale package sales up 12% to record quarterly performance. Our ball grid array packages were down 34% due to the seasonality of our gaming business and softness in networking. Weakness in consumer electronics and automotive and industrial drove our leadframe packaging down 12%. And finally, our test business down 4% in conjunction with the decline in leadframe. Our sales through our established customers were 56% in the fourth quarter, up from 52% in the third quarter. [inaudible] customers make up a greater portion of our communications revenue, while our IDM customers account for a larger share of our gaming revenues. The pricing environment has become increasingly competitive as industry utilization softened. That said, pricing was essentially flat in the fourth quarter. Our gross margin for the fourth quarter of 16.4% was essentially flat with our 16.5% gross margin in Q3. Labor savings from our restructuring activities and favorable foreign currency impact, offset the margin compression from the lower levels of sales and utilization. As a reminder, we incurred restructuring charges of 4.8 million in the third quarter, and 3.5 million in the fourth quarter. Most of these amounts were charged to cost of sales. Our operating expenses of $68 million were down from $78 million in Q3. The $10 million decrease was primarily driven by lower legal fees from our on-going patent arbitration. We expect operating expenses for the first quarter to be up slightly from the levels we incurred in the fourth quarter. We recognized about $7 million of tax benefits for some discrete items in the quarter, about $0.03 per-share. These items included an increase in the value of deferred tax assets carried in Korea that resulted from an increase in the statutory rate, and a release of a tax reserve in Singapore. We expect an effective tax rate of 15% for the first quarter and full-year 2012. In August 30, 2011, our board of directors authorized the repurchase of up to $150 million of our common stock. As of yesterday we repurchased 29.5 million shares for a total of $133 million, and at its recent meeting last week, the Board of Directors authorized an additional $150 million for the repurchase of our common stock. The timing, manner, price, and amount of any repurchases will be determined by the company at its discretion. Purchases under the plan will of course depend on a variety of factors, including economic and market conditions, to cash need and investment opportunities for the business, price, applicable legal requirements and other factors. We believe these investments in our company enhance stockholder value and reflects our confidence in Amkor’s future. We ended the quarter with a cash balance of $435 million, total debt of $1.3 billion and net debt of $912 million. Additional we are free cash flow – essentially free cash flow neutral in the fourth quarter, and as Ken mentioned, free cash flow positive for the sixth consecutive year. With that, we will now open the call up to your questions. Operator?
Operator: (Operator instructions). Our first question comes from the line of Satya Kumar with Credit Suisse. Please go ahead. 
Satya Kumar – Credit Suisse: Yes, hi. Thanks for taking my question. First off, I was wondering if you could comment on the recent developments in Japan, the [inaudible] are apparently getting together and there’s going to be tighter integration with Global Foundry. Could you talk a little bit about how that might affect outsourcing on the backend and if you are impacted by it at all? 
Kenneth Joyce: Sure. We see this is a very positive development. Satya, as you know, Amkor has a very strong relationship with the companies that you’re talking about and so we look at this once again as a very, very positive development because they’re collaborating to get together on the front end, develop a fabulous model and that speaks very well for the opportunities that it will create on the backend on the outsourcing. So we see this, once again, as a very positive development. 
Satya Kumar – Credit Suisse: Okay and I think you’ve talked a little bit about NAND on the lead frame. Have there been any movement in terms of improved volume from IBMs outsourcing on NAND side? Could you talk a bit about that? 
Kenneth Joyce: We have, yes. We’ve seen some improvement in NAND from some of our Japanese customers in particular and the demand is increasing and we’ve been building capacity there in our operations in China although we have some capacity in Korea as well, but China, we’re ramping up very nicely right now in response to increased demand from a number of customers. 
Satya Kumar – Credit Suisse: And lastly, could you give a breakout of your CapEx in 2012 and if you have it for 2011 between sort of advanced packaging, flip chips, lead frame and test? And I know you gave out the utilization number in aggregate, but perhaps you could give some color on how the utilization might be between say CSP. BGA and lead frame? 
Joanne Solomon: Okay. I’ll try to give you some color on that. With respect to CapEx for 2011, the ratio is trending about 60% on the packaging side, about 20% on tests with the balance being R&D, facilities and the like. With respect to packaging, breaking that further out, the majority of our spend is in the chip scale package area supporting our communications and wireless end market, you know, principally the strength that we see in smartphones and tables. Also with respect to wafer level processing, the bump that goes into those flip chip packages as well as, as Ken mentioned in his prepared remarks, the five-pitch flip chip copper filler. So heavy investments on the flip chip side, the advanced guides, so I’d say that’s the vast majority. There was some investments and some cost reduction in the lead frame water bond area, but by far, the majority up to 60% is on the advance side. With respect to 2012, and how the year shapes out, we did invest very heavily in support capacity expansion on the flip chip side, both in 2010 and 2011 so we’re expecting our capital intensity to moderate. So we expect to supplement somewhat on the advance side. We’re seeing some higher investments in cash in support of that space as well as we’re seeing investments of R&D in support of wafer level [inaudible] and [inaudible]. some of that we had expected to come in the fourth quarter of this past year, but it spilled over more into 2012. So as those programs develop, we’ll continue to invest in that space. On the utilization front, packaging and tests, packaging was about 73% for Q4, tests was about 74%. When you look more granularly with respect to utilization, our advanced packages are running very tight. So we’re seeing good strong utilization on the advanced side, specifically with respect to the chip scale packaging. BGA because of the seasonality of gaming and some of the softness we had seen with respect in networking, that’s running lower than the average and so is the lead frame waterbond side. 
Satya Kumar – Credit Suisse: Thank you. 
Operator: Thank you. Our next question comes from the line of Wenge Yang with Citi Financial. Please go ahead. 
Wenge Yang – Citi Financial: Hi. You mentioned that the gross margin is going to be up in Q1 and improving for the rest of the year. Could you give us some color on what are the factors that move the gross margins. And also, is it based on the same level of gold price as we see right now? 
Kenneth Joyce: Yes. We can comment on that. We have a number of utilization initiatives that we have in place and as we talked a little earlier, we’re ramping into China. We’re partnering with IDMs, particularly in Japan and Europe to facilitate some of their satellite strategies. We’re promoting more proactively our copper wire bond solutions and we’re collaborating with some of our customers on initiatives to increase efficiency through – and throughputs for high density lead frames. So we have a number of initiatives in place to improve utilization and we’re working on those very diligently. We also have a number of initiates to reduce cost, as Joanne talked about in her prepared remarks. We have targeted labor reductions of around 25 million annually, so when we take those and we look at all the other efforts that we have in place, we believe that the gross margins for the year will show those improvements. Joanne, would you want to speak with respect to the gold price one? 
Joanna Solomon: Yes. With respect to gold, our expectations of the bottoming, it seems that there is neither appreciation or more further derogation of gold price. So I would suggest around a $1,700 gold price to the extent that there is any additional headwind that’s created for gold, that could change the gross margin percentage. But from a gross profit dollar standpoint, as a reminder, we recapture most of that gold price increase – through or pricing strategies; around 85% is recaptured on a dollar-per-dollar basis. A lot of that is without markup, and that’s what creates the gross margin compressions, so that’s how gold may or may not play in with respect to 2012. 
Wenge Yang – Citi Financial: That’s very helpful. In terms of CapEx, you mentioned the first quarter CapEx will be 125 million. So the rest of the year, your capital intensity is probably going to run below 10%. Is that a sufficient number to sustain your technology as the industry is moving more and more towards the advanced packaging? And if that’s the case, what’s the free cash flow outlook you have for 2012? 
Kenneth Joyce: Well, I’ll speak to the CapEx and then I’ll let Joanne speak to the free cash flow. But on the CapEx side, we’ve invested almost $1 billion over the last two year, in 2010 and ’11 and a lot of that went into the advanced technologies in support of communications and tablets and things of that nature. We had some money in R&D. We are front-end loading somewhat this year, so yes, the capital intensity in Q1, part of that is for these R&D efforts that we have in place on free silicon. So we believe with those investments that we’ve made and with the prudent investments that we’re making through the rest of the year, we would have a lower intensity, adequately supporting customer demand. Now, that’s not to say that if some of these uncertainties in the macro environment subside a little bit and demand comes back a little stronger , that we wouldn’t look at that. We certainly will. So we’ll look at the advanced environment if it changes. But as we look at it right now, we believe we have the capacity to support those advanced packages. Joanne, maybe you could comment on the free cash flow. 
Joanne Solomon: Sure. With respect to free cash flow for 2011, we finished the year at about $50 million of free cash flow results. Looking into 2012, you know, I would expect us to be more higher free cash flow compared to 2011. We did have higher CapEx spend in the fourth quarter of 2011, that flipped into the early part of 2012, so that will put some pressure on our free cash flow for 2012, but I do expect it to be higher than what it was in 2011. 
Wenge Yang – Citi Financial: Just last question. Regarding your customers, what do you see the semiconductor inventory right now at your customers and do you see the rest of the year playing out to be seasonal or even better considering the continuous inventory drop by most of your customers? 
Kenneth Joyce: I think the customer inventory levels remain really very tightly controlled. Of course, there’re exceptions here and there, but I think it’s a general statement that the inventories are under tight control. So as some of the uncertainty moves out of the macro environment, you know, and market demand improves, you know, orders could accelerate quickly. 
Wenge Yang – Citi Financial: Thank you. 
Operator: Thank you. (Operator Instructions). Our next question comes from the line of Veshawn Shaw with Deutsche Bank. Please go ahead. 
Veshawn Shaw – Deutsche Bank: Hi This is [inaudible] on for Veshawn Shaw. Thank you for taking my question. I’d just like to get your opinion on the pace of the wire bond to flip chip migration. I know that you mentioned that flip chips now is 45% of the revenue, but I was just curious, how do you see it going forward and how this kind of goes in line with the new migration. Thank you. 
Kenneth Joyce: I think the migration to flip chip continues to accelerate because especially as we say, a lot of this is going into communications in tablets where they demand is very strong, it continues to grow and in those environment, you need the smaller silicons require the flip chip technology. So we see a strong growth pattern there in the near term. 
Veshawn Shaw – Deutsche Bank: Thank you. And then just one follow up. I was just curious to get your views on the [inaudible] of the NAND rep in China. 
Joanne Solomon: With respect to NAND rep in China? You know, it’s going very well. You know, they – most of our NAND techs, we start with in Japan and Korea so it was new in China this year. And it’s such an aggressive ramp that they had to combat both technology challenges as well as the high stream of [inaudible] that’s showing up. So they’re doing a great job in China, high quality product, you know the customers that are being ramped in those lines are extremely happy. So it’s progressing as planned and it will be a strong contributor to gross margin improvement for 2012. 
Veshawn Shaw – Deutsche Bank: Thank you. 
Operator: And we have a follow up question from the line of Wenge Yang with Citi Financial. Please go ahead. 
Wenge Yang – Citi Financial: Hi. [Inaudible] has been pretty aggressive working on advance packaging technologies in the backend. So given your relationship, I think you’ve signed a strategic partnership with Global Foundries. What’s the plan for Global Foundry and are you going to take some of the burdens in terms of the backhand in – considering you’re already in a relationship with Global Foundries? 
Kenneth Joyce: We have an actual relationship that actually both Global Foundries and TSMC, although we have more formal relationship with Global Foundries in terms of a technology sharing arrangement that we’ve put together. With respect to the backend packaging, the way we view this is that we’ve been in this business for over 40 years. We believe we have the best technology in the industry with respect to packaging and we can compete with anyone on that basis. So we feel very good in that regard. And once again, we have to be somewhat agnostic because we deal with all these foundries with our various customers, so we have excellent relationships, I believe, with all the foundries, although some agreements are a little more formal and as we did say, we do have a formal agreement with Global. 
Wenge Yang – Citi Financial: That’s helpful. Just a quick follow up on that topic. So Satya mentioned that there are a lot of consolidations happening in Japan and Global Foundry will be a main player in that. Could you comment on the opportunities that specifically took and if that actually happened? 
Kenneth Joyce: Well, it’s a little early yet until we see how these collaborations come together. But once again, as we talked a little earlier, I’m not – I see it as a very position development because as these companies transform from total IDMs into fabulous companies with a lot of investment on the front end, that backend and our strong relationship with both Global Foundaries and the IDMs puts us in a very good position as far as the outsource because we have an excellent relationship with Global, excellent relationship with the tech companies in Japan. So once again, we see this as a very positive development for us. 
Wenge Yang – Citi Financial: Great. Thank you. 
Operator: Thank you. Our next question comes from the line of Josh Lipton with Eaton Vance.. Please go ahead. 
Josh Lipton – Eaton Vance: Hi, thank you. I just wanted to know what you were seeing, or what your thoughts were in respect to the second quarter, general market thoughts and what you might expect? 
Kenneth Joyce: Well, if historical seasonal tires hold, we would expect that it would be up from Q1. But once again, there’s still a good amount of uncertainty in the macro environment as you know that. But I can tell you that communications and tables remains very strong. And there’s a seasonal pattern there. So once again, if all these seasonal patterns hold, it should bode well. 
Josh Lipton – Eaton Vance: Great. Thank you. 
Operator: Thank you. Our next question comes from the like of Jake Kemeny with Morgan Stanley. Please go ahead. 
Jake Kemeny – Morgan Stanley : Hi, Ken. Hi, Joanne. Thanks for taking my question. On gross margin, I was wondering if you could give us a little color on as the year develops and you think revenue can grow from the first quarter, what kind of bands do you put around gross margin? In the past, it got as high as over 20% and now it’s kind of in the mid-teens. Can you get back to those 20% type margins or were you going to be kind of constricted in the teen’s level for a while? 
Kenneth Joyce: Well, Jake, we’re actually targeting gross margins in a 20%-plus range in the second half of this year. 
Jake Kemeny – Morgan Stanley : Okay, great. And that’s driven by utilization improving? 
Kenneth Joyce: Well, as we said a little earlier, improving utilization for sure, but we also have a number of cost reduction initiatives that are already taking traction and we’re going to see the benefits of those as well. 
Jake Kemeny – Morgan Stanley : Okay, great. And on the OpEx, between SG&A and R&D, it’s been around 290, 300 million for the last couple of years. Can you just go through your thoughts on where you’d like those to be in 2012? Is it going to come down from those levels or should we expect it to be around the same? 
Joanne Solomon: You know, Jake, we’re taking our profitability very seriously in 2012 as we always have. But we’re driving a lot of it in initiatives. Not just on the gross margin lines. So we’re – include initiatives with respect to the operating expense. You know, so I do expect us to at least hold, but I also – we’re trying to drive it below so hopefully we can see at least the 5% improvement. One of the big variables is that we operated with a higher level of legal and professional fees in 2011 in connection with a patent dispute in an arbitration. And so that’s a bit of a flywheel on how that will impact us for 2012. But I do – we are driving to moderate it. That said, you know R&D is an important part of our company. Ken mentioned it in his prepared remarks that, how critical it is to stay at the technology leader and so we’re very caution about dialing back any of the R&D. 
Jake Kemeny – Morgan Stanley : Okay, thanks. And then just one last one. As you guys think about deploying cash for the share repurchases, what’s like the minimum level of cash that you feel comfortable running the business with and how will you balance share repurchases with free cash flow, you know, generating ability of the business? 
Joanne Solomon: With respect to how we deploy cash, we always have historically described our minimum liquidity needs as around 300 million. We do operate with a revolver of 100 million, so that can help supplement our cash balances and we have some smaller revolvers in international jurisdiction. That’s how we see it the minimum. As we make choices between investing in the business and then the share repurchase, you know, we give priority to investing in the business in support of our customers and as we see liquidity and market conditions, then we’ll take a look at the share buy. 
Jake Kemeny – Morgan Stanley : Thanks. 
Operator: (Operator instructions). We have a follow-up question from the line of Satya Kumar with Credit Suisse. Please go ahead. 
Satya Kumar – Credit Suisse: Hi, thanks. Can you talk a little bit about how the labor costs will progress for this year? How much slack, if any, do you have on labor and how should we model that? 
Joanne Solomon: Yes, you know, so the 2011, we had a reduction in force in the Philippines over about 10% of their labor. For the first quarter, we announced a blonde-hair retirement program. In Japan, we expect that to be very significant. So a lot of the labor cost reduction activities are front-end loaded, you know and some have already happened in 2011. So I would say that if you model that – model the savings, very heavy, you know, Q2, Q3, Q4, and somewhat Q1. The voluntary reduction program in Japan is going on as we speak so a lot of that savings will be coming in in Q2. In addition to the reduction in force, our factors are tightly controlling overtime, workweeks, furloughing employees, so that’s also going on as we speak. 
Satya Kumar – Credit Suisse: Okay. If you look at the year, right, like if I model you guys normal seasonal for the rest of the year, you’ll only be up only a couple of points or so. It feels like there should be a bigger snag back, especially if we’re being impacted by inventory corrections. It sounds like you’re a bit optimistic on the second quarter. How are you thinking about sequential growth [inaudible] normal seasonality? 
Kenneth Joyce: I think there’s still a good deal of macroeconomic uncertainties. I don’t know how much more we’d want to comment on that. But once again, the smartphones and the communication, the tables all remain strong and you know, there are some other seasonal trends that help hold historic patterns. I think we’ll be fine. 
Satya Kumar – Credit Suisse: Okay. And the back half of the year, your comment about getting to 20% margin, that’s a bit higher than what I would have thought you could get to. I would say that the labor stuff that we talked about, are there specific cost reductions that you’re hoping will help you in the second half? 
Joanne Solomon: So we’re looking to, you know, utilization will help a lot with respect to the gross margin. 2011 was a ramp year for fine pitch flow tip copper pillar, so now that it’s fully commercialized, we’ll get the benefit of the full four quarters of having commercialized that technology. We will have gone through the ramp on NAND. We’re seeing a strong [inaudible] rate, so we’re seeing improvements in the test area and as well as copper was much of the story for us in 2011, but we expect existing growth in the copper area for 2012. So that will help margins significantly. 
Kenneth Joyce: I think the important thing too, Satya, is remember, we set our targets and they are our targets but there’s some uncertainty in the macro. But they are targets that we’re certainly working to achieve. 
Satya Kumar – Credit Suisse: Okay, and lastly on BGA, right , so the levels are, you know, you have to go back to ’09 to get to this current level that you’re running at. How much of that is just sort of cyclical in what’s happening in wireline versus secularly, or tables, for example cannibalizing gaming, that’s sort of going down. How do you think about BGA for the next year or two? 
Joanne Solomon: Yes. You know, the most – most of the volitility that you’re seeing in BGA has a lot to do with the gaming seasonality. So that is what’s driving a lot of the puts and takes. Year over year, if you look at the networking space, it is down from the 2010 levels. We believe that there were some build up in the supply chain of networking inventories. We’re obviously starting to hear some positive things about demands improving in that space so hopefully there will be some level of recovery with respect to networking in 2012. But as Ken mentioned, given the level of uncertainty, it’s hard for us to speculate if that takes hold. We’re seeing things a little bit firmer on the CSP chips that go into smartphones and tablets ,but you know, in the end those phones run on networks. 
Satya Kumar – Credit Suisse: Thank you. 
Operator: Thank you. And I'm showing no further questions in the queue at this time. Management, please continue. 
Kenneth Joyce: Well, if there are no further questions, we thank everyone for participation in the call here today. 